Operator: Good day, and welcome to the International General Insurance Holdings Ltd.’s Fourth Quarter 2024 Financial Results Conference Call. All participants are in listen-only mode. [Operator Instructions] After today’s presentation, there will be an opportunity to ask questions. [Operator Instructions] Please note this event is being recorded. I would now like to turn the conference over to Robin Sidders, Head of Investor Relations. Please go ahead.
Robin Sidders: Thanks, Dave, and good morning, and welcome to today’s conference call. Today, we’ll be discussing our fourth quarter and full year 2024 results. You will have seen our results press release that we issued last night after the market closed yesterday. If you’d like a copy of the press release, you can find it on our website at iginsure.com. We’ve also posted a supplementary investor presentation, which can also be found on our website Presentations page in the Investors section. On today’s call are Executive Chairman of IGI, Wasef Jabsheh; President and CEO, Waleed Jabsheh; and Chief Financial Officer, Pervez Rizvi. As always, Wasef will begin the call with some high-level comments before handing over to Waleed to talk you through the key drivers of our results for the quarter and the full year and finish up with our views on market conditions and our outlook for the rest of 2025. At that point, we’ll open the call up for Q&A. I’ll begin with the customary safe harbor language. Our speakers’ remarks may contain forward-looking statements. Some of the forward-looking statements can be identified by the use of forward-looking words. We caution you that such forward-looking statements should not be regarded as a representation by us that the future plans estimates or expectations contemplated by us will in fact be achieved. Forward-looking statements involve risks, uncertainties and assumptions. Actual events or results may differ materially from those projected in the forward-looking statements due to a variety of factors, including the risk factors set forth in the company's annual report on Forms 20-F for the year ended December 31, 2023. The company's reports on Form 6-K and other filings with the SEC, as well as our results press release issued yesterday, after the close. We undertake no obligation to update or revise publicly any forward-looking statements, which speak only as of the date they are made. Also during the call use non-GAAP financial measures for a reconciliation of non-GAAP financial measures to the nearest GAAP measure. Please see our earnings release, which has been filed with the SEC and is available on our website. With that, I will turn the call over to our Executive Chairman, Wasef Jabsheh.
Wasef Jabsheh: Thanks, Robin and good day everyone. Thank you for joining us on today's call. We had another outstanding year in 2024. We reported solid results across all of our most important financial metrics, including growth in book value per share of almost 20% and with dividends included of over 24%. These results once again demonstrate our focus, discipline and consistency in execution and our proficiency in actively managing our capital so that we deliver on the promises we have made to our clients and shareholders. While 2024 was an excellent year, we prefer to look at things over a longer period. We've been in this business for 23 years now and it's just about five years to the day since we began trading as a public company. For the 18 years prior to going public, we built a successful track record of consistent strong performance, generating significant value for our shareholders. But it would be fair to say that for any company going public, especially in the United States, they will have to prove themselves all over again. I can confidently say that we have done that over the past five years. We have very clearly demonstrated our ability to not just maintain our track record, but to improve upon it. Our achievements during this period have been nothing short of remarkable. We have doubled the size of our underwriting portfolio, adding new lines of business and entering new markets including the United States, making us a truly global specialty insurer and reinsurer. We have significantly strengthened our balance sheet to accommodate our larger risk portfolio, more than doubling our asset base, our investments and cash portfolio and our capital position. Most importantly over this time, we have delivered an average core operating return on equity of 20.1%, compounded annual growth in book value per share of 12.3% and demonstrated our proficiency in actively managing our capital, returning a total of $116.3 million to shareholders in dividends and share purposes. In addition to our financial achievements, I'm particularly proud of our non-financial achievements over the past five years. Most notably for me that we have carefully and thoughtfully preserved our cultural integrity. I have always thought of IGA as a family working together, sharing perspectives and having mutual respect for one another. And this culture remains deeply embedded across the company today. This is particularly impressive given our rapid growth and has resulted in continued stability in our performance and the excellent results we have achieved. As we look to the years ahead, I'm confident that we will continue to deliver on our promise of consistent value creation to all our stakeholders. I will now hand over to Waleed, who will discuss the numbers in more detail and talk about market conditions and our outlook for the year ahead. I'll remain on the call for any questions at the end. Thank you.
Waleed Jabsheh: Thank you, Wasef. Good morning, everybody and thank you all for joining us today. I'm pleased to be talking to you this morning about another quarter and full year of solid financial results. We generated solid top and bottom-line results in the fourth quarter, translating to a 77.8% combined ratio, record core operating income of $40.9 million and a 25% core operating return on equity. For the full year, we grew top line marginally by just under 2%. Our view of top line growth, as we said before, clearly changed through during the course of 2024 as we saw increased competition, pressuring rates in many lines and many of our markets. Nevertheless, we generated a combined ratio of just under 80%, record net income of $135.2 million and record core operating income of almost $145 million leading to return on average equity of 22.6% and core operating return on average equity of 24.2% for the year. Before I delve into the details of the results, I'd just like to reflect a little more on Wasef's comments in the past five years. As he just noted, we'll mark our fifth anniversary of being a public company in just a few weeks. While Wasef noted the financial achievements we've made during this time, I'd like to focus a little bit more on the non-financial achievements. We went public on March 18, 2020 at the time and in spite of a rich 18-year history in this business, we were a virtually unknown Middle Eastern company with a market value of around $400 million. You may recall that within days of us listing on NASDAQ, the U.K., the U.S. and virtually the entire world all facing an unprecedented global pandemic went into lockdown effectively preventing us from traveling to meet our shareholders face to face and practically erasing any ability to target prospective new investors. In the first few years, we were in the throes of the de-SPACing spanking process, which can be somewhat of a complex one, all while adjusting to the demands of life as a public company. Five years ago, we were a group of about 225 people across five offices writing less than $400 million in gross premium. Today, we're over 450 people across eight offices, and as you will have seen in the last we just closed 2024 with premiums of over $700 million. During this time, we entered new markets, most notably the U. S. We added new lines of business like Contingency. We opened offices in Bermuda and Oslo and also Malta where we established our European platform. We created efficiencies by taking previously outsourced services in house such as SOX reporting, various IT functions and delegated authority oversight. We bolstered our underwriting capabilities across all our offices. And most recently, in our London underwriting center, we established a presence at Lloyd's and relocated to new offices that are more conducive to supporting our marketing activities and enhancing our visibility with key audiences. We've made these accomplishments while producing some of the best financial results in our history and reaching a market cap that is currently hovering around the $1.2 billion mark. And most importantly through it all, we've maintained our unique and deeply rooted culture one characterized by high performance collaboration and mutual respect. So it's safe to say that our progress has been truly remarkable as Wasef mentioned. Now returning to our usual agenda, I'll recap our Q4 and full year numbers before moving on to our view of the market. Starting with the top line. Gross premiums were up just under 6% in the fourth quarter, mainly driven by growth in the short tail and reinsurance segments. For the full year, gross premiums were up just under 2% when compared to 23%. I'll talk in a moment about what we're seeing in our markets and what we're expecting in terms of top line. But as I said in last quarter's call, there are opportunities for new business but we're having to work harder to find them and that's exactly what we're doing. But I want to be clear that if the profitability in these new opportunities don't meet our requirements, we will simply not write the business. This is all part of effectively managing the cycle with our focus always on bottom line profitability. Our combined ratio of 77.8% for the fourth quarter and 79.9% for the full year are very healthy and they reflect the continued strong performance of the group. 2024 saw a more elevated loss environment. I mean, we had hurricanes Helene and Milton, extreme flooding in Europe and the UAE, the Taiwan earthquake and also the convective storms in the U.S. Our share of those losses has been very manageable and this clearly illustrates the resilience we've created in a larger and more diversified portfolio. Just a few comments on our segment results. In our short tail segment, gross premiums were up marginally in the fourth quarter and up just shy of 3% for the full year. Earned premium was relatively flat compared to the fourth quarter of 2023 and up over 8% for the full year. Underwriting income was down in the fourth quarter driven largely by a higher level of losses, but up almost 5% for the full year in spite of the elevated loss activity. I'd note here that the new business opportunities in engineering, contingency, marine lines such as ports and terminals, marine cargo and to a lesser degree the property lines were offset by contraction of more than 25% in our aviation book. The reinsurance segment performed very well overall. The fourth quarter year-over-year comparison is somewhat distorted though by the true up in the fourth quarter of 2023. For the full year, which is a much better indicator, gross premiums were up more than 36%. In this segment, both underwriting income and net earned premiums were up significantly in the fourth quarter and full year when compared to the same periods the year before. The long tail segment was the most challenging area of our portfolio and where we saw again some expected contraction in the book. It was down about 1.5 points in Q4 and almost 10 points for the full year. Again, what you're seeing here is the effective discipline we're exercising in risk selection and all part of being strong cycle managers in the business. As a result, net earned premiums were down compared to the same periods in 2023. Underwriting income more than doubled in the fourth quarter due to a higher level of losses recorded in the fourth quarter of the previous year versus this one. But again, a better indicator would be the full year in that underwriting income was down a little over 30%. Overall, in the long tail segment, what I said in prior quarters remains the same. That for the foreseeable future, we're likely to continue to see rates under pressure and we continue to take a more cautious view here until market conditions do improve. Net income for the fourth quarter was $30 million. For the full year, net income was slightly above $135 million up almost 15% from the prior year. And a record result for us all due to solid underwriting margins and better investment income. But again, noting the impact that the redemption of the warrants had on the full year results of 2023. Core operating income was a record $40.9 million in Q4 and a record $144.8 million for the full year of 2024. Turning to the balance sheet, total assets increased almost 11% over $2 billion. Our investments and cash portfolio grew by more than 14% during the year. Our allocation to fixed income, which makes up approximately 78% of our portfolio, generated almost $52 million in investment income, which represents an increase of almost 30% over the year before with a yield of 4.3%. Note, we kept duration relatively stable at three point two years. Total equity increased 21.1% to over $650 million at December 31, when compared to the same point of last year before. I would note that year-end total equity was impacted by a mark-to-market loss of about $22 million on our bond portfolio during Q4. But remember that we hold our bonds to maturity. During the fourth quarter, we repurchased more than 220,000 common shares, taking us up to just under 1.5 million shares for the full year. As of the 31st December, this leaves approximately 2.3 million shares remaining under our existing $7.5 million repurchase authorization. Ultimately, we recorded a return on average shareholders' equity of 18.4% for the fourth quarter and 22.6% for the full year and a core operating ROE of 25% for Q4 and 24.2% for the full year. Lastly and most importantly, book value per share was $14.85 at the end of the year representing a year-over-year increase of just under 20%. So as I said at the outset, another excellent year for IGI. I congratulate all of our people for the results we've achieved both financial and non-financial. This is very much a team effort and together we've made incredible progress in maximizing our efforts through better collaboration, better communication, creating more efficiencies across our offices and within units and being more active in our marketing efforts, all of which have laid a very solid foundation for the coming years. Looking ahead, I'm still confident that we can find good opportunities to write new business across many lines within our portfolios. This is the benefit even with our relatively small size of having a well-diversified portfolio of risks. We have more optionality and more levers to work with to shift our focus and pivot to those areas with the strongest rate momentum and the highest margins. All this while always remaining disciplined, selective and consistent and working within our well-defined risk appetite and tolerances. Our presence in key territories is critical in allowing us to see emerging trends and respond quickly and decisively and capturing the business locally. This is especially important today as we're seeing increasing competitive pressures and many of our international markets are becoming stronger and more relevant. And what's clear is their ability and desire to retain business -- or to retain more business locally within these domestic markets. I'm particularly pleased with all the work we've done in the patient of a more competitive environment. We differentiate ourselves through our strong technical capabilities, underwriting discipline and of course the quality of service we provide. Our underwriting teams are led by seasoned professionals who are very well versed in the cyclicality and volatility of this business. They've managed cycles through the good times and the more difficult times and they understand that relationships matter. And this is one of our strengths and what enables us to compete against companies that are much, much larger than us. Specifically, on what we're seeing in our markets, there's clearly a heightened degree of competitive pressure generally as I said. And 2025 has gotten off to a challenging start with significantly elevated loss activity, particularly in short tail and reinsurance lines and long tail lines continue to be pressured. I'll start with the long tail segment. Net rates overall remain adequate despite several consecutive quarters of decline. As I said a moment ago, we're seeing some signs of rate stabilizing, not broad stabilization, but in some areas like PI, the pace of rate decline is slowing and the book overall is still rate adequate. I'd note that these comments are specific to the long tail lines that we write, all of which as we've said many times before in the U.K. and international markets and not the U.S., where the story is clearly different. Our short tail portfolio remains more of a mixed bag. Rates overall remain broadly steady with what we saw in 2024 with a fair bit of variation by line and geography. It's definitely increasingly competitive. I mean, so far in the first quarter, as I said, we've seen significantly more active loss environment with the wildfires in California as well as a number of major risk losses globally. And it remains really to be seen what impact this loss activity will have on market conditions. Energy business is obviously one of our largest and most important classes. Onshore energy is seeing an increase in competitive pressures, while rates are holding up a little bit better on the power side. Though here, we're also seeing more competition as well with new capacity entering the market. Offshore energy by contrast has faced several consecutive quarters of decline and continues to be quite challenging. Other areas which continue to show stability, decent rate adequacy include property, both U.S. and international; ports and terminals, marine cargo, marine lines in general, still looking quite positive. Contingency, which is an area where we're still seeing some good opportunities in. Construction and engineering is definitely a bright spot with really healthy opportunities in North America, regions such as Asia Pac and MENA. General Aviation, however, continues to be one of the outliers. And as I've said, we've contracted that book quite significantly after several quarters of rate reductions. But I would note that there's been a recent uptick in loss activity in that space. And that may -- just may help stabilize rates for 2025. In the Reinsurance segment, about two thirds of our treaty book renews in Q1 and what we've seen so far is probably fairly consistent with what you've heard from others. There was a more aggressive push for market share towards the end of the year in the last final weeks and consequently rates were down around 5 to 10 points at one-one, with some pockets of rate improvement on loss affected business. Coverage has remained relatively stable on a positive note. The remainder of our book is weighted towards international exposures, which predominantly renew in Q2 and Q3. This is where I expect we'll see some new opportunities which meet our profitability targets. It's safe to say that 2025 has gotten off to a rather challenging start for our industry. For IGI specifically, I mean, we mentioned the losses I mentioned the losses previously, but for IGI specifically, we expect our losses from the California wildfires as well as the other risk losses that have been incurred so far in Q1 to be manageable for IGI. In our geographic markets, the U.S. has been the biggest growth area for us and we expect that will continue to be one of the markets with the greatest opportunity for us to write new business and grow. We're a very small player here in the grand scheme of things and we remain cautious and always mindful of our risk appetite and our tolerances especially when there's excessive Cat risk involved. In 2024, we wrote a total of just over $120 million in gross premium in the U.S., which as I said is a drop in the ocean of what is almost a $2 trillion market. So there's plenty of room to grow here both with respect to our treaty portfolio, our reinsurance segment as well as our short tail segment. Europe also remains a growth area for us, but it's got slightly different dynamics from the U.S. Europe is much more about relationships, so it takes longer a little longer time to penetrate. In 2024, we expanded our European presence, adding capabilities, new products to our offering in both our Malta and Oslo offices. And as we've said previously, enhanced our marketing activities. And then in 2024, we wrote approximately well, almost $90 million in gross premiums across all segments of our business. Similarly, in the MENA and Asia Pacific regions, we have some excellent talent on the ground, which we have grown over pretty much across the board over the last few years. And we've enhanced our marketing activities and the collaboration between our regional offices and London across regions and this is producing some great opportunities for us. So quite a bit to digest. We have rapidly evolving market dynamics and from a macro perspective, we continue to face global financial and geopolitical pressures and a clearly heightened degree of polarization. But in conclusion, we are fully prepared for these headwinds. I'll go back to what Wasef said at the outset. We've proven ourselves and our ability to deliver on our promises as a public company over the past five years just as we did to the private one eighteen years before that. We are in our strongest position ever. We've got the right people with the right capabilities and a deeply embedded performance-based culture. We've got a well-defined and understood strategy. We are details focused. We have a deep understanding of our markets with experienced people on the ground providing a high level of cultural compatibility. We communicate with transparency and we execute with precision. With this excellent foundation, I'm absolutely confident that we will continue to serve in a stable market for our customers and generate excellent value for our shareholders in 2025. So I'm going to pause here and we'll turn it over for questions. Operator, we're ready to take the first question, please.
Operator: [Operator Instructions] Our first question comes from Michael Phillips with Oppenheimer. Please go ahead.
Michael Phillips: Thank you. Good morning, everybody. Thanks for the time. First off, congrats on the quarter. Congrats on another great year. Slowly showing your focus on the underwriting side of the business, which is quite unique. Let me start with this. I apologize in advance. I think this question is pretty general, but maybe it's a good chance to kind of rehash your thoughts on this. Waleed, you're making it pretty clear that the competitive environment is more intense and walk away from business that's not profitable and staying to your focus on the bottom line. Great. But I guess the question is, companies would be envious of a company that's not even at an 80% combined ratio for 2024. So it feels like there's still more room for that to move up and get more business. And I guess I'm just kind of asking at a high level, how you think about that balance of can we get a little more aggressive, maybe it's too strong of a word, but are there more opportunities for growth that can help the top line even in this current rate environment given you've got quite a still strong margin? So just thinking about that overall balance for you guys internally, how do you think about that? Thanks.
Waleed Jabsheh: Hi, Mike. Thanks for the question. It's a good question. I think for us, there is no lack of ambition at IGI to grow or to want to grow, right? So, that's unquestionable. I think the point here is the appetite and -- risk appetite, risk tolerances vary from company to company. Yes, the margins we're generating are very healthy and that's off end of the market. But I think our approach to the business is a reflection of why those results are generated. We are constantly out there looking for new opportunities, looking for opportunities to grow. But at the end of the day, we have to understand and the way we look at it ourselves is that we have to understand who we are and what our true capabilities are, whether they be financial, intellectual, whatever it is, and work and ensure to stay within those risk tolerances because we are in a very -- we operate in a very punitive industry. We are relatively a small business compared to in the larger scheme of things. We are a lot more resilient than we were five years ago, as I mentioned earlier. But we still have to appreciate that our size is what it is. And there are bets we can take and are willing to take and there are bets that we can't and cannot willing to take. And some of the business that we write and some of the lines that we write can be very or quite volatile. So tweaking your appetite for certain areas, it would work and it is actually certain lines of business discussions we are having internally. But for other areas especially the more volatile ones you want to stick to your guns and stick to your philosophy, which has proven time and time again that it delivers. And just work within your comfort zone and never it's all about discipline at the end of the day. And I'd rather generate an 80% combined ratio writing a $700 million book of business than a 90% combined ratio writing a $1 billion book of business. I'll make more money with a smaller portfolio.
Michael Phillips: Okay. I think that hits it right there, that last sentence perfect. Thank you. Thanks for all that. That's super helpful. I certainly appreciate that last comment. Thank you for that. I guess California -- you said the California wildfire losses would be manageable. Appreciate that. I guess, can you just talk in general about that? Do the losses that we're seeing in California that are sort of almost always there now, but this year being pretty bad at the start of the year, does it change your appetite of how much you want to grow in California at all for your short tail business? And then kind of related also in California with the losses, what do you think this does to reinsurance going forward?
Waleed Jabsheh: I think it's too early to tell what it does to reinsurance going forward. After an event like this, Mike, naturally anybody in my position or our position would expect things to change and things to change for the better in terms of pricing. That is yet to be seen. I think it's too early to tell. But it's very safe to say that the industry hasn't gotten off to a good start to the year. If the market does move positively and present much more attractive opportunities, whether they be in California or anywhere, any other part of the world, that is exactly where we'll be going. So that is exactly what we've always done. Wherever there is dislocation in our industry, there's definitely opportunity. And so if pricing improves dramatically in California, if coverage is improved from a selling dramatically in California or any other parts of the world, that will definitely be on our radar to attack more aggressively.
Michael Phillips: Okay. That makes sense. Thank you. Maybe one more if I could and then I'll come back if need be. How does your view of the use -- I think it's around 20 -- using MGAs for the underwriting side, how does your view of wanting to use that change as market conditions change? In other words, if we're in a more competitive rate environment, do you like that side of the business more or do you like it less or does it not matter?
Waleed Jabsheh: I think you've got to be with MGA, you've got to be careful whether the market is in a good state or the market is in a bad state. Giving your pen away is always something no one should take lightly. That said, we would never really give our pen away to another of to an MGA that does exactly what we do. That doesn't add any value to our portfolios, our business, and it effectively creates more competition to what we're doing in the markets we're operating already. So where we do add MGAs or support MGAs is where they're accretive to the portfolios that we have and they're differentiating from the business that we already write, whether it's geographical, whether it's the dynamic of the business. And usually, they've got the distribution and the infrastructure to be able to capture and service that business that we simply don't have and at least at this point are not willing to sort of invest in. So hard market, soft market, you've got to be careful. But if you find the right niche opportunities, then absolutely we will continue to support MGAs. And that is part of the plan. We've beefed up our internal dedicated authority oversight function and ensuring that in that push towards finding and -- targeting and finding new portfolios of business, we've got the infrastructure and we're ready to fully stay on top of that, service it and ensure it doesn't go wrong.
Michael Phillips: Okay. Thank you. I appreciate your answers there, Waleed. I'll hop off and maybe come back if there's time. Appreciate it. Thanks for now.
Waleed Jabsheh: Thanks, Mike.
Operator: And the next question comes from Scott Heleniak with RBC Capital Markets. Please go ahead.
Scott Heleniak: Yes, thanks. Good morning. Just the first question was just on the core loss ratio continues to be excellent, very profitable, a lot lower than what other specialty peers are seeing. I know you don't have the U.S. long tail exposure, social inflation. I definitely get that. But is there anything else you can point to on why that continues to track so much lower than peers? And just anything you're seeing on the loss trend front as well on your long tail book would be helpful?
Waleed Jabsheh: Yes. Hi, Scott. Thanks for the question. I don't think it's I mean, I don't necessarily have an answer to why we continue to track better than others. I think it's just our approach to the business and our focus on bottom line. You'll note that our practically most, if not all of our competition has grown top line in bigger ways than we have, especially in 2024. I think you've just got to do what's best for yourself. I think that being said, yes, it has been a more competitive environment. The rates that are flowing through the financials now are predominantly from the back years when the rates were still stronger than they are. So that's based on -- but honestly, I think it's just all down to discipline and adjusting, shifting focus. And aviation is a good example where we've said now for a good four to six quarters that the market, the landscape is highly inadequate. And as a result, we've contracted the book by 25% in 2024 on top of 10% to 15% contraction in 2023. And you've got to be able to do that. I mean and then shift focus, you've seen the growth in our treaty portfolio where the market has been a lot more attractive and we've doubled the book in 2023, increased it by more than 35% again last year. So it's just being as opportunistic as you can and focusing your attention on those areas where you think -- where we think returns are going to be healthiest. There's no -- it's not it really isn't rocket science what we do. I mean, it's just really being patient, being disciplined and not putting yourself under pressure to grow, because that especially in the market that we're in at the moment can be very detrimental. That being said, we've spoken about the losses, everybody's focused in California, but there's been a lot of other risk losses across the piece, some in the U.S., some in Europe, a little bit in Asia. And hopefully, these will focus the mind and maybe get more disciplined back into the market and remind people that our business is the business of taking risk and risk is expensive or can be.
Scott Heleniak: Yes. That makes sense. I would imagine too it speaks to how you feel about the growth you've seen in U.S. and Europe business over the past couple of years. It's that would I would imagine be reflected in those core loss ratios that you feel pretty good about that profitability as well. Is that a fair statement too?
Waleed Jabsheh: Yes, I think so. I mean, at the end -- I mean, we are seeing for Europe has always been a tough market, right? It's dominated by the local large European Continental players. So getting into Europe is a bigger challenge in my opinion, but we're on our way to do that. We make progress year after year. And we're very pleased with where we are today and where we're heading. The U.S., I mean, when we entered the U.S. market, it was highly dislocated. Our timing was very advantageous as an underwriter. But we're wary of the risks that come in writing business in the U.S., albeit it does not include long tail lines. We've grown that book over the last five years gradually, methodically. It's now $120 million odd portfolio, which as I said earlier is still very small compared to the size of the market overall. The market is becoming more competitive, but I think again, as we've always said, it's not about rate movement, it's about rate adequacy. And in most areas, it's still relatively adequate. And as long as it is, then we will continue to pursue growth in those markets.
Scott Heleniak: Okay, great. And then just wonder if you could talk about just comment what you're seeing on the pricing environment. I think we're all probably most people on the call are pretty aware of what's happening in the U.S. pricing environment. Just in some of the other markets, Europe, Middle East, Asia, just expand on kind of what you're seeing or rates up or down or flattish? Just kind of generally speaking, I know you mentioned also you see new business opportunities and kind of outside of the U.S., if you can balance that with the rate commentary with the growth opportunities there outside of the U.S.?
Waleed Jabsheh: Yes. I think if you look at the markets outside of the U.S., I mean, our biggest markets are Europe, The Middle East and Asia, right? So as you mentioned, I mean, each one has its own dynamics. I mean, Europe is a big market, it's a big continent. So it varies by country and it varies by line of business. I would say that it's pretty much in line with what you're seeing everywhere else. I think the long tail lines there are getting tougher, but it's good business still there. Short tail lines and reinsurance will move in tandem with the global markets, especially with the business that we're trying to capture or do capture, which is a larger business. I mean, for Middle East and Asia, definitely getting more competitive as well. I mean, it's again, it's pretty much in sync with what we're seeing generally across various lines of business. That being said, there are areas, as I mentioned earlier, like construction, engineering that we are extremely optimistic about. And I think the opportunity there will only develop further in the coming quarters and years. And the construction market and engineering underwriting market has been one of the markets that has held most positively and has not come down in the same way that other lines of business have. That being said, as I said earlier, again, I repeat, it's about rate adequacy and not rate movement. And generally, across the piece, the adequacy is still there in those geographical territories in those areas that we are focusing on. Growth will be tougher because there's more competition, there's more capacity, there's more hunger. You're not benefiting from rate increases that you benefited from two, three, four years ago. And that's hence the comment I made earlier about having to work harder to find the business, and we will. So it's managing the market, managing the cycle, nothing new. Been there before and we'll do what we need to do to the best of our ability.
Scott Heleniak: Okay. That's great color. Just one last one. I didn't see any mention of Hurricane Milton losses. Did you have any losses in there? If so, are you able to share what those were?
Waleed Jabsheh: Milton was negligible to us. That's why we didn't even mention it. It's not really worth mentioning. So, yes, it was nothing.
Scott Heleniak: Okay. Thanks for all the answers.
Waleed Jabsheh: Thanks, Scott.
Operator: This concludes our question-and-answer session. I would like to turn the conference back over to management for any closing remarks.
Waleed Jabsheh: Just a quick thank you to all of you for joining us today and thanks, of course, as always for your continued support of IGI. As always, if you have any additional questions, please get in touch with Robin and she'll be happy to assist. Thanks again, and we look forward to speaking with you on next quarter's call. Have a good day, everyone.
Operator: The conference has now concluded.